Operator: Ladies and gentlemen, thank you for standing by. Greetings, and welcome to Ceragon Networks Limited Fourth Quarter and Full Year 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode, a brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, your conference today is being recorded. It is now my pleasure to introduce your host, Maya Lustig, Head of Investor Relations at Ceragon. Thank you. You may begin.
Maya Lustig: Thank you, Alan, and good morning, everyone. I’m joined by Ira Palti, Ceragon’s President and Chief Executive Officer, and Ran Vered, Ceragon’s Chief Financial Officer. Before we start, I would like to note that this call includes information that constitutes forward-looking statements within the meaning of the Securities Act of 1933 as amended and the Securities Exchange Act of 1934 as amended and the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Although we believe that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations therefrom will not be material. Such statements involve risks and uncertainties that may cause future results to differ materially from those anticipated. These risks and uncertainties include, but are not limited to, such risks, uncertainties and other factors that could affect the results as detailed in our press release that was published earlier today and as further detailed in Ceragon’s most recent annual report on Form 20-F and in Ceragon’s other filings with the Securities and Exchange Commission. Such forward-looking statements represent our views only as of the date they are made and should not be relied upon as representing our views as of any subsequent date. Such forward-looking statements do not purport to be predictions of future events or results, and there could be no assurance that it will prove to be accurate. Ceragon may elect to update these forward-looking statements at some point in the future, but it specifically disclaims any obligation to do so. Ceragon’s public filings are available on the Securities and Exchange Commission website at www.sec.gov and may also be obtained from Ceragon’s website at www.ceragon.com. Also, today’s call will include certain non-GAAP numbers. For a reconciliation between GAAP and non-GAAP results, please see the table attached to the press release that was issued earlier today. I will now turn the call over to Ira. Please go ahead.
Ira Palti: Thank you, Maya, and good morning, everyone. In the fourth quarter of 2020 as well as almost the entire year, the macro environment remained challenging. Fast forward to the present, the vaccine roll out in Israel is inspiring, setting a world record and an example to other nations. Personally, I got my second shot already, and I’m happy to share with you that I’m feeling perfectly fine. For Ceragon, the fourth quarter was a relatively good end to a volatile year with revenues and business activities returning to the normal run rate. Ran will give you the details later in the call. I would like to take the opportunity to say a few words about our most recent technology focus, the evolving market, and our emerging roadmap. 2020 was a unique year for business and as an economist once said, “a crisis is a terrible thing to waste.” A big opportunity for us this past year was to be a key player in moving the 5G evolution from hype to reality. As you would agree, 2020 created a deep cultural change in our global society. Due to the lockdowns, limited face-to-face interactions, and reduced travel, online services became the lifeline. We all adopted new ways of communicating, doing business, shopping, entertaining ourselves, and more. This has generated massive traffic and complexity that strain existing networks, creating an urgent need for more network capacity. To keep pace, operators are pushing 5G from initial trials into the field, and this is what we have been waiting for and are very excited about. We believe we are poised to provide operators with the technology, expertise, and services they need to make this transition happen, and we foresee a significant opportunity to grow and take market share. At Ceragon, we have a history of benefiting from the transition between wireless generations. As 5G services and networks build momentum, we believe that once again we will do what we do best, leverage this transition, and continue our successful Company story in 2021 and beyond. When we look back, we see that the three main technological breakthroughs that empowered us to become a true global player were wireless SDH, wireless IP, and compact multicore all-outdoor wireless backhaul solutions. And more than that, we became present in all corners of the world, positioned to benefit from the wave when it occurs, where it occurs, which is something our best-of-breed competitors cannot boast. Our first big revenue jump was a decade and half ago when our wireless SDH solution drove the transition from 2G to 3G. This almost tripled our revenues at the time from $55 million to above $160 million per year. We were the first to introduce wireless SDH technologies, a game-changer that opened a world of possibilities for operators to bring the Internet to mobile devices. Our next big step was over the next 10 years when we were the first to introduce wireless IP hauling compact all-outdoor solutions, dual-core chipset, which allowed us to ride the 4G wave globally and took us from $160 million to a yearly run rate of about $300 million, and that’s exactly the position we are in today. We expect to continue to be a key enabler of the exciting 5G evolution. I’d now like to spend just a few minutes to explain why, especially for those of you who are new to Ceragon, it might help to break down the elements that contribute to our 5G positioning. 5G networks require massive capacity, density, and flexibility with extremely low latency, and we believe our differentiated solution leads the market in all these areas. We enable operators to utilize a much wider range of spectrum, and our open network architecture supports more flexible and operationally efficient network rollouts and quicker time to revenue. We are one of the only players that develops all network components in-house. We believe this gives our customers’ networks the performance advantage along with several years’ lead in network capacity and network resource management such as spectrum, energy, and site acquisition. Thanks to all this, we believe our customers succeeded more often and more efficiently in today’s competitive market. I’d like to speak a bit more about our leadership in the best-of-breed portion of the wireless hauling market. We were at the forefront leading a change that created more possibilities for operators to build and manage higher performance and more operationally efficient networks by integrating the best solution for every network domain. This is what made us the number one wireless hauling specialist first in the 3G days with wireless SDH, and then in 4G days with wireless IP and multicore, all outdoor solutions. Today, another change is already picking up speed. The industry’s move led by operators towards open networks, the OpenRAN or disaggregated environment. This enables operators to integrate specialist solution for each network domain from different vendors. The market is becoming more democratized which plays to our favor. Just a couple of weeks ago, we learned that Europe’s Deutsche Telekom, Orange, Telefónica, and Vodafone formed a collaboration around the rollout and development of OpenRAN technology in a bid to ensure that euro keeps up with the U.S. and Japan. In the wireless hauling best-of-breed market segment, we believe the leading provider is us, Ceragon. We believe we have the most advanced and flexible set of technologies and solutions, the largest market share, and the most comprehensive services and expertise and the wise [ph] best geographical coverage. The transition from 4G to 5G is creating a huge change in the way networks are designed and architected. That’s why often we help operators achieve an evolutionary approach. We provide a wireless-based backhaul network that is supporting 4G networks and that can be upgraded cost effectively to 5G at any point to increase capacity by tenfold. We help them optimize their network performance and network resources, including reuse of equipment where needed. This total support approach is how we have built our extensive customer base worldwide some of whom are recently acquired. This includes major Tier 1 operators in North America, Europe, and Southeast Asia as well as Tier 1 and Tier 2 operators across the globe, plus smaller ISPs and regional players. It’s what we believe makes us an essential partner for operators as they evolve to 5G. So, what makes us the technology leader of wireless hauling and even more so when it comes to wireless hauling for 5G? The answer is the combination of 4 elements: First of all, we are the only player that builds our own purpose-driven chipsets, giving us the tightest integration in the market, functionality and cost wise. Second, total vertical integration. We are the only player that does everything in-house from chipset development, from microwave and millimeter wave to complete radio and networking system. Third, we are the only player with leadership in all three domains of the disaggregated wireless hauling network, networking software, networking hardware and radios. And finally, we believe we are the kings of compact all outdoor solutions with nearly 40% market share of the segment as measured by Sky Light Research firm. Putting all this together, you see the full extent of our capabilities, solutions and roadmap, 2 gigabits per second to 100 gigabits per second over a wide range of spectrum, going well above 100 gigahertz. This is what is needed to support the capacities and capabilities for any and every possible 5G scenario. Now that we believe we are perfectly positioned to leverage the 5G evolution, the open question is the timing. We see signs that this evolution will start building at a larger scale toward the end of 2021 and then go through 2022 and 2023. The exact timetable might be impacted by COVID, but we believe this is a general direction. The U.S. has been deploying 5G since late 2019 and shares leadership of the transition today with China. Network build-outs using wireless hauling for transport across networks have recently begun. We’ve increased our 5G design wins to nine this quarter, and we are participating in numerous 5G proof-of-concept and initial rollouts in the U.S., Europe and the Pacific Rim, and plans are being finalized for mass rollouts. We anticipate that the first large-scale networks to make use of wireless hauling in mass are likely to pick off toward the end of 2021 and then to pick up speed at first gradually through 2022 and 2023. We expect to benefit from the growth of this market and also to take market share. After Japan and Western Europe, we expect to see 5G momentum build in the Rest of Europe, APAC and LATAM, followed by Africa, three years down the road. In the meantime, we continue to benefit from large expedited 4G projects to increase network reach and capacity. In some of these projects, the operators are already ceding in the wireless holding infrastructure required for 5G. To conclude, we are moving into a new kind of future, building on a growing collective online mobile presence and global hyperconnectivity with full ramification and potential we are yet to witness. In this new context, we believe, there are and will be an increasing number of business opportunities for us across the globe, starting already this year. We are working hard to leverage these opportunities and to continue to be a key enabler of the multiyear 5G evolution. I would now like to turn the call over to Ran to discuss our financials in more detail. Ran?
 Ran Vered: Thank you, Ira, and good morning, everyone. To help you understand the results, I will be referring mainly to non-GAAP numbers. For more information regarding our use of non-GAAP financial measures, including reconciliations of these measures, we refer you to today’s press release. During the fourth quarter, we made further progress moving back toward normal operations, continuing the positive trend that began in Q3 2020. Our revenues returned to strong level and are at the high end of our projections for the quarter as well as the high end of our normal quarterly revenue run rate range pre-COVID. They reflect the return to strong execution of almost all our ongoing activities in an industry that will see new urgency for network building. At the same time, COVID has increased our supply chain expenses significantly, reducing our gross margin. This compared with the large technology write-off and some year-end expenses recorded in the quarter gave us a low gross margin and took us into a net loss for the quarter, despite the strong revenues. Nevertheless, our financial performance in the fourth quarter remained strong with strong collections enabling us to generate $9.3 million in cash flow from operating and investing activities and to repay almost $12 billion in loans. In fact, all main balance sheet indicators, DSO, inventory, short and long-term cash flow moved in the right direction this quarter, despite very-challenging environment. Let me now review the actual numbers with you. Revenues for the fourth quarter were $74 million, up 5% compared with the third quarter 2020 and up 4% compared with Q4 last year. The revenues varied from region to region, in line with the effect that COVID has had on local business operations and network build-out plans. Europe had its strongest quarter in the last three years, reflecting some initial revenues from 5G projects. Our strongest revenue for the quarter was from India, reflecting ongoing deliveries for Bharti. Revenues in North America were strong, reflecting continued positive momentum with ISP and smaller carriers. Africa too had a strong quarter, reflecting shipments for the Orange Niger project we announced in August as well as to another customer we won this quarter. This is further proof of our strong 4G success in Africa. Latin America had the strongest quarter in 2020, reflecting some gradual return to activity in our project in Peru. However, we are still facing frozen CapEx budget in the face of COVID-19. APAC has relatively weak quarter with one above 10% customer in the fourth quarter. For the year, revenues were almost $263 million, down 8% from 2019. This reflected the weak first half of the year due to COVID, following a much stronger second half. The booking to revenue ratio for the quarter was slightly below one. Overall, our annual book-to-bill ratio for 2020 was above 1, while overall bookings were slightly higher than 2019. Gross profit for the quarter on a non-GAAP basis was $21.4 million, giving us a non-GAAP gross margin of 28.9% compared with 31.3% for the fourth quarter of 2019. This reflects few onetime negative effects, some of which are agreements reached with several customers, which, we believe, will improve our future business with them as well as less favorable customer mix. It also reflects the continued high supply chain costs that we have had to deal with the COVID environment with a major increase in airfreight cost, higher material cost and more. This is likely to continue to fluctuate over the next few quarters until there is a full recovery. For the full 2020 ended, the non-GAAP gross margin was 28.7% compared with 33.8% in 2019. This is not a level we are pleased with, and we have taken some operational steps to improve it for 2021. Operating expenses on a non-GAAP basis for the fourth quarter were $20.8 million, in line with our expectations. Research and development expenses for the fourth quarter on a non-GAAP basis were $7.7 million, a slight increase from Q4 2019, mainly due to our progress with chip development. As planned, these expenses will continue to stay high until we reach tape-out in mid-2021. Sales and marketing expenses for the fourth quarter on a non-GAAP basis were $8.5 million, down from $10 million in Q4 2019, reflecting the reduced travel and variable compensation that have come with COVID. General and administrative expenses for the fourth quarter on a non-GAAP basis were $4.7 million, in line with our expectations and down from $6.8 million in Q4 2019, which was impacted by onetime provision. Operating expenses on a non-GAAP basis for the full year period were $79.9 million, down from $87.6 million in 2019, primarily due to reduced sales and marketing expenses. For 2021, we expect to have higher R&D expenses during the first half as we complete the new chip, to gradually increase our sales and marketing expenses throughout the year as markets open post-COVID. Financial and other expenses for the fourth quarter on a non-GAAP basis were $2.5 million, which is much higher than the normal expected level. We do expect them to return to the regular levels in Q1 2021. Our tax expenses for the quarter on a non-GAAP basis were $1.6 million, which was higher than expected. However, when we take a step back and look at the annual 2020 tax expenses, we see that they are in line with our typical annual tax expenses. During the fourth quarter of 2020, with $0.5 million equity loss together with $1.8 million impairment of intangible assets related to the write-off of technology investment, this was taken in view of our decision to use an alternative solution, which we believe is a better fit for our customers and the market. Net loss on a non-GAAP basis for the quarter was $3.5 million or $0.04 per diluted share. On a GAAP basis, net loss was $6.3 million or $0.08 per diluted share. As to our balance sheet, we continue to improve our stability and working capital, and you can see our success in the following parameters. We reduced our inventory to $50.6 million, down from $62.1 million at the end of 2019. Our receivables are now at $107.4 million, down from $118.5 million at the end of 2019. Our DSO now stands at 140 days, which is a bit lower than in Q4 2019. Cash flow from operating activities for the fourth quarter was $11.1 million. Net cash used this quarter for invested activities was $1.8 million. This strong cash flow enabled us to repay $11.9 million of our short-term loans. Looking forward, we continue to expect to see significant operating activities alongside continued uncertainty. Although the situation remains volatile, we believe that we are maintaining good control and are well-positioned to take full advantage of long-term opportunities. We are targeting revenue growth in 2021. Although we expect a slow start for the first half of the year, based on Q4 book-to-bill below 1, thus typical seasonal factors negatively affecting the first half, we continue to expect yearly revenue to be between $275 million to $295 million. We are aiming to reach non-GAAP gross margin in the range of 30% to 34% in 2021. However, with the continued COVID impact on supply chain expenses and other cost factors, the gross margin might deviate from that range. For Q1 2021, we expect our non-GAAP operating expenses to be in the range of $20 million to $21.5 million, taking into consideration the investment needed in our unique multi-core chipset technology. With that, I will now open the call for your questions. Operator?
Operator: [Operator Instructions] For our first question, we’ll go to the line of Alex Henderson. One moment please, while we open your line. Your line is open. Go ahead, please.
Alex Henderson: Thank you very much. I was hoping you could talk a little bit about the gross margin variance in the quarter, quite a bit steeper than we’ve anticipated. Obviously, the guide for 30% to 34% for the CY’21 gives us some sense of the trajectory, but I would hope to have some sense of whether you think you’ll stay in that band throughout the ‘21 period? And, to what extent we should be at the very low end of that in the seasonally weak first quarter with COVID probably having a bigger impact? But, could you just give us a little bit of a waterfall of what caused the decline in the gross margins in the -- or the pressure on the gross margins in the December quarter, to start with?
Ran Vered: So, yes, it was a low gross margin, and it was actually compounded, I will say, four buckets of reasons. The first one is the higher cost of supply chain impacted by the COVID, higher air freights, higher shipment cost, and this is actually probably going to keep staying with us until we see some relief from that in the next few quarters. The second item is -- we had some impact on arrangements with several customers that we will believe will improve our future business with them and had a negative onetime effect in Q4. In addition, with some one-time year-end expenses recorded to the quarter, that also impacted the gross margin, it’s really in terms of the timing of several expenses that impacted us specifically in Q4. And the last item, I would say, is that in between the regions, we had some quarters that in the specific region with some less favorable customer mix in specific regions. So, take Q3, for example, we had in several regions better customer mix in these specific regions. All-in-all, if I need to balance, if I take the revenue -- if I take the average revenue quarterly run rate and you look on Q3 and Q4, the average of the gross margin is between 31%, 32% with some volatility between quarters. And this is why we also provided, I would say, wide range for full 2021, between 30% to 34%, and again with the possibility to deviate below or above in specific quarters.
Alex Henderson: Can you give us any kind of waterfall, the 33.5% to 28.9% delta? How much of it was supply chain? Is that 200 basis points? And isn’t that -- wasn’t that [audio disturbance] September quarter as well? I’m a little confused why that would be meaningfully different.
Ran Vered: So, the ballpark of say, the things was, I would say, roughly 50% -- 30%, 50% out of this deviation was the impact of the agreement we reached with several customers. 20% to 30% of it was specifically less favorable customer mix. And I will say, the remainder of it was supply chain issues that we faced -- specific supply chain such as higher air freight and air shipment costs. This is the remainder of that.
Alex Henderson: Okay. So, as I’m looking at the first quarter, which is normally a seasonally weak quarter, where COVID pressures are higher than they were in the December quarter, I guess, the -- several of those, the one-timers should fall out that would suggest that you get a -- you’d be above 30%, at least, in the March quarter. Is that a fair calibration of 1Q?
Ran Vered: Yes, it’s a fair calibration.
Alex Henderson: Okay. And then, on the OpEx side, can you remind us your position relative to hedging the shekel-dollar relationship? And obviously, the shekel has been quite strong. Are you anticipating a little bit of pressure from that and therefore towards the higher end of your guidance band of ‘20 to ‘21 on a quarterly basis?
Ran Vered: So, Alex -- so, I will compare it to 2020. So, our policy is to hedge 100% or close to 100% of our shekel expenses. Last year, or in 2020, our hedging rate was close to 3.44, and in 2021, the hedging is fixed to 3.35. So actually, the current shekel, we are okay and it’s going to be fixed. So, you don’t see the impact of the shekel on our cost because it’s 100% hedged. The issue is going to be with the shekel, what we’re going to do in 2022 because it does impact us -- even on 2021, it’s a weak shekel, it impacts us, and even the hedging rate is not that great. But for 2021, it’s a fixed hedge of 3.35, and this is fixed.
Alex Henderson: Down on the interest line, you said you expect that to normalize. You paid down a bunch of debt. What is the normal rate on interest income expense line?
Ran Vered: I will say any number between $1.1 million to $1.5 million.
Operator: For our next question, we’ll go to the line of George Iwanyc. Please go ahead.
George Iwanyc: Thank you for taking my question. So, Ran, just following up on your OpEx discussion. When you look at the potential cost savings from R&D starting to normalize after you tape out and then the increases on the sales and marketing side, do you expect that to be necessarily a wash for the full year and you stay in that $20 million to $22 million range for OpEx throughout 2021?
Ran Vered: Yes, George. This is the expectation. Exactly, this will be a wash -- a slight decrease in the R&D in return to an increase in the sales and marketing, but eventually it’s in the range that you mentioned.
George Iwanyc: Okay. And then when you look at taping out, and this might be a question for you, Ira, how soon after you tape out do you start to fill in the portfolio with products that you end up having available to customers?
Ira Palti: Usually, having systems deployed in customers is about 18 months from tape out, sometimes shorter than this. We’d probably be able to demo work, do POCs with the customers out there, and really fully operational systems about that number. We target a year, but it’s a very aggressive type of targeting of about a year after tape out, usually somewhere between a year and 18 months is a more type of a reasonable type of assumption for getting a product out. But, let’s remember that this is not the whole strategy. This is the longer term strategy. The 5G deployment strategy that we’re doing today is done around the products we just released over the last two quarters around our IP-50 family, which is winning in the market right now. The whole chipset is targeted for the second wave of 5G, when capacity is really, really soar. For the current design wins that we’re having and where we have a significant lead over the competition, the 50 family gives us the capabilities, both for 20 gigs in E-band, gives us capabilities like very wide channels in Europe for winning -- for being able to deploy macro 5G base stations with 4 and 8-gig capabilities with very, very small footprint. So, it’s a whole evolution, which I mentioned. And I think that’s the same story we had around the 4G. It’s a set of products that continuously rides the wave, starts with a certain set of products, which we have ready at this point and then additional products and services, both in the radio domain, in the networking domain, in the management domains, which help the customers really deploy the 5G. So, it’s that whole sequence that we are working, deployed, working with customers, and it’s not just one point in time, which is okay, yes, that’s the next step, a very important step, a leading step, which I think very hard for others will be to catch up there. But, that’s only part of the story. The whole story is the whole strategy we have been building on how do we very-fast ride the 5G wave in different places around the world, starting in Europe, U.S., Pacific Rim and then later on, in the emerging market types of places where we have seen that. As an interesting point on this, we have been talking that we won and we moved in the last quarter from five to nine design wins. And an interesting point, this quarter, I think, we are close to 10. I got news from one customer, a very important one that they selected us and -- but, I want to say, I’ll count it as 10 when I see the official paper on the table.
George Iwanyc: Okay. And then, I guess, following up on the 9, 10 design wins, can you give us a sense of how rich the pipeline activity is both on the 4G side and the 5G side for the next six months? And then, just maybe a bigger picture question about that, which will be my last question is like the puts and takes on your annual guidance like what would be something that accelerates towards the higher end and what would pull it down towards the lower end of the range?
Ira Palti: So, let’s start, because I think the questions were focused on the profitability, but let’s start with Q4 and the pipeline. Q4 was at the high end of our revenue run rate. ‘19 -- even with COVID, we had higher bookings than we had in 2019. So, in 2020, higher bookings with COVID around 4G, a little bit than in ‘19. So, we are running. And I think that we’re running in two areas. One, we continue to see significant 4G deployments in a lot of places where we do not see 5G yet for all sorts of reasons like handset pricing, technology readiness and others, and people are deploying and delivering still a lot of capacity around 4G. See India, see Africa, see LATAM, although LATAM slowed down because of CapEx and COVIDs in different places. The 5G that we see right now and as the pipeline on the table, not large, and that’s why we say second half. Reason is that when we look at the 5G design wins, they are all initial deployments where we start to see the deployments. The initial deployments are mainly on fiber. I won’t say even the second wave, but it’s when you start going a little bit outside the center of the metropolitan and you start densifying metropolitan, you see a lot of wireless hauling, front-hauling, backhauling, all sorts of technologies on the table that drive the change. And we believe this will start being converted into revenues and significant orders in the second half of the year. Giving a twist on this, the other side is, things that we see is also -- and this is the longer range, and you started and then I’m going back to your question around the chipset in the beginning and the longer range. There is a significant underlying change that we see in the technologies, the 5G is that move into the OpenRAN type of architectures, which then change again the network architecture is probably the second half or the other part of the wave of 5G, where that’s what we are mainly targeting chipsets for very, very high capacities, and we are almost on a daily basis seeing news around OpenRAN, adoption of OpenRAN and increasing -- believing people in OpenRAN as a technology to drive 5G, where I think will play a significant role because it plays to our sweet spot of best of breed. OpenRAN is all about best of breed. It’s our weak spot with the customers, and it plays very nicely for us as we build both, the technology and ride that wave.
Ran Vered: George, let me just complement what Ira say on the 5G design wins. I think, one important note is that few of them are with customers that we never done business with, including the one -- the 10th one that Ira just mentioned that we announced that we got this morning. So, this means we are penetrating to new customers because of our capabilities in regards to 5G.
George Iwanyc: So just following up on that, and then I’ll end the questions. When you penetrate a new customer, is there much gross margin variability with ramping up initially versus once they are an existing mature customer?
Ira Palti: No, not really. Usually, yes, there’s a little bit upfront of course of coming in and investing upfront, and it’s sometimes adding people and things, but it’s not as significant on the overall of the business.
Operator: We have a follow-up question from the line of Alex Henderson. Go ahead, please.
Alex Henderson: So, it seems pretty clear that when I look at the numbers that you’re not going to be looking at a meaningful amount of profitability in ‘21, but it also seems pretty clear that the trajectory of revenues is very heavily back-half weighted. So, is it reasonable to think that we’re likely to see losses in the first half of the year and then turn to profitability in the back half of the year, as you start to see some ramp to these contracts and you get some of the taping costs behind you? Is that kind of the way we should be thinking about the way the year is going to unfold?
Ira Palti: I think, what you are putting on the table is reasonable, although from a manager’s perspective, driving everyone crazy here to stay profitable and return to profitability. But, I think that your assumption that the first half is a little bit weaker on profitability and might be also in the last and then in the second half as positive, is a reasonable assumption.
Alex Henderson: The first quarter tends to be seasonally the weakest by a long shot. I assume that you’re not thinking that you can get back to the March ‘19 quarterly run rate of $69 million in the first quarter. So, my assumption is that you’re still -- that’s the weakest quarter of the year. Is that the right…
Ira Palti: It usually is the weakest quarter of the year.
Alex Henderson: And, in terms of the order book as we’re looking into ‘21, can you talk about what regions you expect to be stronger? It seems like you should, as the year progresses, see a mix shift to 5G, which tends to be the richer feature set, the richer geographies, the U.S., the European markets tend to buy full features as opposed to say, LATAM and Africa and India that have historically tended to buy the lesser feature systems. So, should we see a mix shift as the year progresses?
Ira Palti: We will see a mix shift, as you say, more towards Europe and the U.S. towards the second half.
Alex Henderson: And then, on the book-to-bill commentary, I mean, it’s not surprising, the book-to-bill is under a little bit pressure here in the COVID world. But, as we go through ‘21, I would assume that you would start to see a book-to-bill solidly above 1 with that book-to-bill progressing, so that as we exit the year, your pretty strong order rates setting up a much better ‘22. Is that kind of how you’re thinking about the way things progress through the year?
Ira Palti: That’s the way we believe that the year needs to look like. A lot of factors around it on timing and timing of orders and timing of -- sometimes, you win a big project, but the timing of orders is a little bit slower because of weak count. An order is an order I can deliver in the next six months, except SLAs and things like that is something which is very concrete. Sometimes I win very big projects, and then over 3 or 4 years, we see the orders coming in over a gradual basis. But yes, I think, your assumptions are correct.
Alex Henderson: Okay. One more question, and this one’s a little bit longer trajectory around it. So, clearly, you’ve got a very strong new technology coming down the pipe. Assuming the tape-in is successful and that you launch these products towards the back half of ‘21 that should set up a situation in ‘22 where you start shipping them. Would we be expecting initial margins on the very-first iterations of that product to be low until you get the volume? And then, should we then expect that the margins will be considerably higher than the current run rate, because at that point, A, it’s 5G; B, it’s advanced technology; C, it’s going into the more advanced geographies first? Is it possible to get back into that 34%, 35% type gross margin of vicinity as that happens?
Ira Palti: You’re asking me two different questions and two different predictions on the table. First, I’ll say, yes, I think we can -- I believe we can reach back and get back to a 34%, 35% range, although as Ran said, at least initially for the year next year, we don’t -- we are not in that range. But, I think, with the changes in technology and make shift and a significant mix shift into Europe and the U.S., the answer is yes. But, remember that the second part of the question, I think, you do the right analysis, but you need to overlay that with quantities. And let’s remember that initially, the quantities of the new products will be small in the whole mix and then they will increase. And when they are increasing, yes, we have better margins on them, but then it’s much larger volumes and much larger volumes with the customers usually also mean a little bit of reduction in prices to the customer, which means that it’s balancing out. Yes. We believe we can sustain the business where the margins will go up above where we are today and can reach the 34%, 35% range. And we have seen that when we have large volumes because large volumes also contribute as our fixed costs are coming down around those numbers. And I believe, once we start shipping large quantities of 5G products out there will be -- we can be, and we believe we can be in those ranges. And as a reminder, I don’t need to wait for the next product around the chipset. We just introduced the 50 family, which is leading the change into the 5G. And over the next second half of this year and into 2022, we’ll have a significant ramp-up in those products, which are also leading in the market and enabling all sorts of very-unique capabilities, which are not available there -- in there. So, I would take your analysis. Yes, it’s on the next level of product on the new chipset, but it’s also on the current level of product as we’ve introduced them into the market.
Operator: We will go next to the line of Gunther Karger. Your line is open. You may go ahead.
Gunther Karger: Yes. Thank you for taking the question. And congratulations on the good year and quarter, Ira. The question is this. There is a talk in the industry that there’s a shortage of chipsets and chips, which is inhibiting some companies from delivering on orders. Do I assume correctly, since Ceragon, yourselves, make your own chipsets internally, you do not have such an inhibitional problem, is that a correct assumption?
Ira Palti: That’s a partially correct assumption, because, yes, on our own chipsets because we make them, we have less of the shortage although we use outside factories and if TSMC, which produces us as a shortage, and I need to order our chipsets at TSMC, I’ll get into the same level of problem, sometimes. But yes, we are in a much better control than in other environments. And that’s part of the challenges that we talked about COVID on the one hand and going into an era where we are much more digital with a lot more communication, a lot more needs in doing this as part of the challenges of the day-to-day business, the way we’re running them and managing shorter digits as they progress around the table.
Gunther Karger: A follow-up on this. So, do I also assume correctly that the major problem, if there is one, in this case, would be the materials, the raw materials that go into the manufacture of your chipsets?
Ira Palti: You may assume, but it’s something I don’t know. We order and raw materials going into them, it’s there. And it’s a whole discussion around the supply chain with its complexity. I want thank you for asking and thank you for being with us this morning. And I would like all of us and all of you to thank you for joining us today this morning. We believe we have made great strides towards the key enabler of the 5G evolution. But, we think the real story is how Ceragon, once more, will enable and leverage a wireless generation transition. We appreciate your time today. And we look forward to speaking with you again next quarter or any time during the quarter, as you know, feel free to call us up, call up Maya and we’ll entertain more detailed discussion with each and every one of you. Have a good day, everyone.
Operator: Ladies and gentlemen, that will conclude your conference call for today. Thank you for your participation and for using AT&T event teleconferencing. You may now disconnect.